Executives: Louis Gries - Chief Executive Officer, Executive General Manager of U.S.A, Executive Director and Member of Financial Statements Disclosure Committee Russell Chenu - Chief Financial Officer and Member of Financial Statements Disclosure Committee Sean O’Sullivan - Vice President of Investor & Media Relations and Member of Financial Statements Disclosure Committee
Analysts: Simon Thackray - Nomura Securities Co. Ltd., Research Division Andrew Peros - Crédit Suisse AG, Research Division Andrew Johnston - CLSA Asia-Pacific Markets, Research Division Liam Farlow - Macquarie Research Michael John Ward - Commonwealth Bank of Australia, Research Division Emily Behncke - Deutsche Bank AG, Research Division Andrew Geoffrey Scott - CIMB Research Jason Harley Steed - JP Morgan Chase & Co, Research Division David A. Leitch - UBS Investment Bank, Research Division Matthew McNee - Goldman Sachs & Partners Australia Pty Ltd, Research Division Ben Chan - BofA Merrill Lynch, Research Division
Louis Gries: Good morning, everybody. It's like we should hope for rain every results, so I could just do mine on the phone. Yes, so -- anyway, we'll run through it the normal way. Yes, this is going to be a repeat of the last result, which I did do on the phone. We thought we were going to do a little bit better in the quarter. Obviously, we went into the year thinking we're going to do a little better for the year. Again, the summary, you guys know the summary. The volume -- volume, we're pretty happy with it. I guess, Sean has got a couple of question and I just got a question on the 8% comp on volume. I think when you look at the volume trends in the business, actually the fourth quarter came in right around where we're forecasting. So we're happy with where the market's at and we're happy with where we're at relative to the market on volume. So the work we need to do is in other areas. So I think we'll probably -- I'll go through the slides pretty quick and you got Russell go through his and then we'll kind of handle that other stuff in more -- in detail when we go through -- when we get to questions. So anyway, you can see the operating profit for the quarter and for the year. Excluding all the other stuff, it's down $4 million. So on much higher -- 12% higher volume, so obviously, that's a disappointment from a bottom line standpoint. So again, we'll talk about that. U.S. in the quarter, yes, sales were up I think 8% -- or volume was up 8%. Sales price, I don't think it was down a full percent, but it was slightly down. Mostly that, at this point, is mix, so there's no slippage of any price in the market anymore, so it's a mix at this point, pretty much entirely. The input costs in the business aren't a problem. They've been favorable this year, so despite the fact we didn't hit the bottom line number we are looking for, it wasn't an input cost problem. Freight is starting to get more expensive right now, started in March, which is typical for this time of the year. We are doing a lot in our capacity side, so we've got some money going to that both in Fontana. We actually have to start up Plant City ramp-up, proves come up to kind of like 3 shifts on the second line or 24/7 on the first line. So we do have some inefficiencies hitting us as we bring capacity back up. Fixed manufacturing cost, that's again a lot around -- we kind of shrunk the organization around the 7 sites and now we're getting around a more -- getting ready to do construction and run more than 7 sites. So that's going to stay in the business, the higher manufacturing cost. It will be spread as volume continues to go up, obviously. Part of the capacity work we've done, again, the product mix pre-downturn and post downturn, because we did a pretty good job in here in our market and with a few of the kind of more or less core-like products. Our mix has changed quite a bit. So we're setting the factories up kind of for mix that we're anticipating that we'll continue to improve. I'm forgetting about the 7-plank deal, but we're talking about other products that are becoming a bigger part of the business. And then we're also moving toward regional manufacturing. So what we want to do is we want to end up with a southeast and northern and a western kind of manufacturing hub where all products are sourced regionally. This isn't all that new, but now that we're back into growth situation, the freight benefits of getting there is significant. Of course, you've got a lot of investment -- not a lot of investment, but you do have investments to get there as well. So some of the asset impairment is about that shift that what we used to do in these plants, isn't what we'd necessarily in the future. Summerville is probably the best example of that. It used to be a siding plant, and we'd like to make it a HardieBacker plant. So there's no HardieBacker in the southeast manufacturing. And then we talked about the organizational costs. So there's some numbers. EBIT was a little better than last year, but nothing really to comment on because it came at a lower overall EBIT margin. In the full year result, again, we're pretty happy with the volume. We'd like the way the market is and we feel on our PDG count, we indexed just about 6% above the market. And of course, we take into account the new construction increases, but also the repair and the remodel. And we knock out a few things like high-rise in that, but for the most part, we're very happy with volume. We like our traction in the market. We think we're better in the market this year than we were this time last year so we're starting to build some of that capability back in the new construction. So we're happy with the volume. Average price when we came in a year I know I said flat plus or minus 2. It comes out minus 1 for the year, which I'll be honest with you, that's little bit of a surprise to me. I thought we'd be flat, and I knew there were some risk about -- around that in both ways but anyway, we came out minus 1. You can see we're flat on EBIT despite the extra volume to deal with, and when we get into Q&A, I'll kind of go through how I see that thing, breaks out as far as kind of where the -- where the extra EBIT would've been lost on the extra volume. This is our EBIT margin chart. Obviously, it's just before -- the market peaked at 2007, so fiscal year 2008. And you can see, it's been a steady decline. So obviously, it's a trend we have to reverse and you know we're committed to doing that. You can see the housing market is definitely well, number one, much lower than it used to be but definitely on a much more positive trend even in the last year. So the slope with that line, the black line, is good. And we feel it's sustainable, so it's -- we don't think anything -- it's anything that will likely flatten out in the near term. Average flows, and we'll come back to this slide, but basically, you can see we peaked in fiscal year '11 at about $6.52, and then we lost -- let's see $6.52. I think we lost about -- I can't remember a $7 or $8, '11 to '12. And then we lost another $7 or $8 from '12 to '13. So over a 2-year period, we lost $13 and again, that's something we do have to reverse. There's 2 different parts. One, our more price-conscious segments are at lower prices than they were 2 years ago, but also we're selling more of that board relative to the overall mix, so that's the other problem. So we'll cover that, but we've got to reverse that trend. So we talked a lot about what we put back into the business, and I think you remember in the downturn, we did pretty well because I think, number one, we did kind of scale down the size of the organization as the market opportunity went down. And two, we did a lot of reallocation of resources to make sure we hit our resources pointed at the stuff that was still going to kind of pay back for us in the down markets, so we pulled a lot of stuff off in new construction and put it on repair and remodel. So now we're in a process of reversing those trends and that's -- one, we're putting more bodies in the business but, two, we're doing some reallocation again towards new construction. So that's the kind of sales side of it, then you have a marketing component. Our R&D, we did increase this year. I don't expect that to increase much in the next couple of years from the level we're at now. And then we put a lot of money in the supply chain because we just see there's a lot of opportunity now as I commented earlier to get more of the regional manufacturing and it's just a lot of inefficiencies and shipping our product is -- which is very heavy, as far as we do. So we did put a lot of -- more capability in supply chain. Unfortunately, I'd say we're not getting paid back anything on that yet and that's another thing that's got to change. Now we've done some good work in that area, so we kind of understand it better than we used to, but we haven't started turning into dollars yet. This -- I think most of you know or some of you know, this new R&D facility is non-fibre cement and it's outside of Chicago, so it's in Naperville. So we look at a lot of it's to -- targeted at coatings with the ColorPlus business getting as big as it has. We just felt we're a little bit exposed not having a technical capability in coatings. We had worked -- we work very closely with Valspar. They obviously have the capability, but we didn't have any of it in our company and we kind of felt uncomfortable with that, so we committed to that expenditure. And also, we've got a non-fibre cement stuff there, some trim products and obviously, fiberglass to do with pultrusion and in the future possibly fiberglass windows. I guess, the bottom bullet point is the key one. We ramped up costs faster than volume this past year and we can't do that again and I don't think there's any reason to. I think we've got like 2/3 of what we want in the business in the business right now, so just the potential incremental adds from the here, but not big adds that will move the needle much on the EBIT. Okay, Asia Pac. Asia Pac is different kind of a flip side of U.S., and that's meaning, the U.S. had a better market, but I don't think we delivered as well as we could have in a better market. I think the flip side for Australia, especially in the Asia Pac region, is they have a soft market and they didn't deliver as well as they could have in a soft market. So it's not that they ran the business poorly, I just think they left some money on the table. It's a little bit disappointing for me because we've just been through it in the U.S., so when we kind of have the blue print for how to handle a downturn, and the downturn here, wasn't near as severe as the U.S. downturn, but I think kind of the fundamentals are still the same and we missed a few of them on production planning, especially. Last summer, we got too much inventory in the business and then we really had to restrict production and unit cost got hit because of that. But anyway, obviously, it's a very good business in Australia. New Zealand has been positive. That's on a very positive track, both market-wise and internal capability and how they're executing. Philippines had an off year. The markets is fine. They have had a good 2- or 3-year run in the Philippines and they just lost some of the momentum and fell back a bit, so we expect that to bounce back pretty quick. But anyway, the fourth quarter in the region wasn't anything to brag about. There weren't any big issues in the region, but it just wasn't that good of a quarter for this region, which is especially on Australian business used to delivering good results very consistently. So their sales, volume and price kind of fine, I guess, relative to the market they're in. Lost some money on the EBIT line relative to last year on a similar -- a little bit more volume, a little bit less EBIT, so that's not great. Again it's a quarterly variance, so you don't want to overreact to it, and then the EBIT margin was down a bit. Their full year, and this has the impact of the -- a few of the mistakes they made in the earlier quarters, so net sales down a little bit because price was down a little bit and volume pretty flat in an ordinary market or a down market, whichever you want to call it. And then EBIT down and that to me, I trace almost all of that back to their ability to react to lesser demand in our plants in Australia. So anyway, EBIT margin 2.5 points off, still sitting right at the 20%. I guess part of our announcement today, we are expanding so Carole Park. So we would have talked to you about a year ago based on our forecast for the business, which I think are pretty reliable, we got a lot of data points on the core business. Obviously, it goes back a long way. We have a lot of confidence in where our category share is and how consistent it is in Australia. But more importantly, we got the Scyon line growing to be a bigger and bigger part of the business and that does use capacity. So when you see the price rises in Australia, those are largely mix rises as we sell more and more Scyon. So we started out -- we actually started out with a greenfield concept for our new capacity here and it just wasn't affordable. So this AUD 89 million investment was like AUD 200 million when you want to get the greenfield. And the benefits of greenfield were pretty incremental over the benefits of expanding Carole Park. Now one thing we were a little bit uncomfortable with, we haven't closed the deal, but we are working on due diligence to acquire the land we're on in Carole Park. Because we were a little bit uncomfortable. Although it's a good lease and it's a long-term lease, we're a little bit uncomfortable investing that kind of money in a site we don't own the land. Now just as a reminder, we don't own the land in Asia Pac anywhere so -- and in Waxahachie in the U.S., we don't own the land. So it's not like we don't invest in plants where we don't own land, but we just feel a little bit better if we own that land. So we're in the process of buying that land. I think I don't do well with all this square meters to standard meters to standard feet, but it's about 30 million square meters we get on the new. Basically, it's a new line finishing some building and a new process put in a middle of a new line, which is kind of a product investment rather than a capacity investment. We'll build it -- I don't think we'll have any trouble building it. We moved to -- we moved the U.S. construction guy down here about a year ago when we started scoping out the project, so he'll stay down here to build the -- kind of build the equipment related -- construct the equipment related to the addition. So I guess, we got it under expected benefits. It's really around Scyon. A lot of Scyon sold in Queensland and we can only make it in Rosehill, so that will allow us to make it up in Queensland. It does have -- a part of the investment is to make a flatter, smoother sheet and then obviously, we'll get lower freight cost, some scale advantages in the plant and the ability to meet future demand in the business, and we're not closing down any sites to get there. Okay, so I probably covered this. I mean, it's hard not to be confident in the housing market where we're at right now. It's pretty steady. It's very steady. I shouldn't say it's pretty steady. Our ability to forecast has been way better than normal, which -- and I'm going back like probably 18 months, probably 21 months now. The market has been very predictable. So that part of it has been very good. Of course, all the forecast that will continue assuming there's not some huge shock to the economy. We have a lot of capacity projects going on, so I'll cover some of those again in Q&A. And then we just have to get serious, more serious about our EBIT returns than we did -- were last year. We definitely miscalculated. When I stand here a year ago, I would've thought that we'll go for 20% if we get 19%, may be 18.8%, something like that and we get other things accomplished, we want to accomplish, that's fine. But I didn't see us coming in at 17.1%, so we got to get more serious about that. In Australia, I guess, you feel for the markets better than mine, but it looks like flat to me maybe slightly better, at least from our perspective. New Zealand looks good and the Philippines, I think, like I said, behind a bit of a bounce-back, I believe. So I hand it over to Russell.
Russell Chenu: Good morning, folks, and thank you, Louis. So Louis ran through most of the factors, so I'll skip some of this. Price in the U.S. was impacted by the focus on multi-family, as well as in the new starter market and the move-up homes, first move-up homes, being a higher proportion of the market, so that hasn't assisted our returns. Also, the amount of money we were investing in organizational capability, as well as incurring some cost in both the quarter end and the full year on capacity planning, quite a bit of that fell through to the expense line, was not capable of being capitalized and therefore, had an adverse effect on earnings. Also, during the period, we reviewed New Zealand weather tightness. At Q4, we elected not to take an increase. Didn't see the need for that, but it finished up with a $13.2 million charge for the year and left us with a $15.2 million provision at the end of the financial year. We took some asset impairment charges, $11.1 million in the quarter, $16.9 million for the full year. And of the $16.9 million that was spread around 5 different plants and all but 1 were tied back to capability and capacity for the future. So you can see that this is really just a consequence under U.S. GAAP of the capacity planning that we're doing. And as a result of some of those assets being disused over the past 4 or 5 years, when we go back into -- have a look at capacity, we cannot use all of the assets and we finished up having to replace them and then impairing the existing assets. During the year, we made a contribution to AICF of USD 184 million, AUD 177 million, and we paid dividends as well of $188.5 million, which was a very significant increase on the $17.4 million we paid in the prior year. And the payment reflected dividends of $0.43 per security. Today, we've also announced some second half dividends and ordinary dividends of USD 0.13 and a special dividend of USD 0.24 to give a total of USD 0.37 for the second half dividend. And those dividends will be paid on the 26th of July 2013. Bringing the total for the year in terms of declared dividends to USD 0.42 -- I'm sorry, to USD 0.43. Moving on to the results. Our net sales for the quarter were up 6% to $327 million. Our gross profit was up by a similar percentage. SG&A expenses is, I think, we flagged in previous quarters and also you could see it coming through the numbers that Louis reported. We're up 19%. Most of that was in the U.S. business so it's a very significant increase. As Louis indicated, we're aiming now not to have that increase on the existing level of expenditure, although we'll probably continue to see percentage increases on prior corresponding quarters in the early part of FY '14. Our research and development expenses, we're up 7% to $9 million and the asset impairments that I talked about, also represented in the slide, at $11 million for the quarter. Asbestos adjustments, $131.6 million and almost all of that was due to actuarial assessment. In fact, one of the maybe minor notable features of this result is that for both Q4 and for FY '13, there's been only minor movements attributable to foreign exchange whether it's for earnings or assets -- asbestos impairment that the exchange rates were very stable and have had little impact. So almost all of that $131.6 million adjustment for asbestos provision relates to an increase in the actuarial estimate. The net operating results of the quarter was a loss of $69.5 million, largely attributable to the asbestos adjustment. And that compares with $480.7 million earnings at this quarter last year. Almost all of that $480.7 million, in fact, more than $485 million of that was attributable to the fact that we booked a reversal following the court decision on the RCI tax case in Australia. So that was $485 million that we booked on there. Moving on to the full year -- sorry, just looking at the recurring basis of the earnings. If we adjust for those items that are nonrecurring and don't impact operating earnings, we had a $30.7 million profit for the quarter, which was down 11% on $34.5 million last year. And you can see there the reversal of that tax adjustment a year ago was $485 million. It was a very big part of the $492 million that we took. On to Slide 23, which -- sorry, on to Slide 22, sorry. Looking at the full year result, net sales were up $1,321 million, up 7%. Gross profit was up 3% so we lost some of that at the gross profit level. SG&A was up 14% for the full year to $219 million. Some of that was New Zealand weather tightness. In fact, about half of that increase was New Zealand weather tightness and about half was run rate. Research and development was up 22% to $37 million, and then asset impairments and asbestos, which we've already talked about. So the net operating profit was $45 million after all of those factors compared with $604 million in the prior year, which was substantially impacted by the $485 million tax write-back that we had. Turning now to Slide 21, as it is on here. There's a different number on my pack. The full year result on a normalized basis, adding back those adjustments, was $140.8 million compared with $144.3 million for the prior year, so just off a couple of percentage points. On to Slide 22, the segment EBIT. It was up 4% in the U.S. business for the quarter, $37.8 million. The Asia Pac business was down a little, 6% to 37 -- to $16.7 million and R&D expense up 25% by $1.4 million to give a total segment EBIT of $47.6 million, which was relatively flat on the prior year. So the total EBIT came in at $37 million compared with $41.9 million, which was a 12% reduction. And segment EBIT for the full year, as Louis highlighted in his section, the U.S. and Europe segment was very flat, $163.5 million. The Asia Pac business was down 13% to $75 million, R&D spending was up by 26% to $26 million and that produced an EBIT for the group of $181 million on a recurring basis, which was 7% down on the prior year. Moving on to income tax expense on Slide 24. The quarter, as I previously flagged, doesn't mean a lot here because all of it is a true-up under U.S. GAAP. The quarter's tax charge was $5.6 million, which produced an ETR, an effective tax rate of 16.4%, which was a little higher than last year. But the far more meaningful number is the full year result because this is obviously tax expense and tax rates calculated on the basis of the full year rather than just a true-up. The tax charge was $37.4 million and the effective tax rate was 21.3%, which was down almost 2% on the prior corresponding period. Moving on to cash flow on Slide 26. The net operating cash flow for the year was $109.3 million on the basis of U.S. GAAP and that compares with $387.2 million. It may appear a bit odd that we're not actually contributing to AICF this year FY '14 when we're reporting here a positive cash flow, positive operating cash flow, which is the basis on which the contribution to the fund is paid, but that's the result of the way in which U.S. GAAP requires us to treat cash that's been dedicated to the AICF, which was the case year ago. So if that -- of the cash we have a year ago, $135 million was dedicated and therefore, it doesn't go into operating cash flow because we made an early payment to the fund. So maybe the easiest way to look at this is to take 2 years cash flow together. And you'll see that we have actually contributed on that basis almost 35%. And there's a reason why it's a little different. But we will be making no contribution to the fund this year. CapEx purchases of property, plant and equipment was up well on last year's numbers $36 million a year ago, $61 million this past year. And it was up significantly at the fourth quarter, $20 million of CapEx in the first -- in the fourth quarter. And we anticipate that, that will continue to increase in line with the sort of capital spend that we've talked about for the U.S. business and then fairly soon, we'll expect to see some of the expense coming in for the expansion of the Australian business as well. So there'll be quite a significant uplift in capital expenditure starting likely in the first quarter of this year, FY '14. Just looking at the spend in FY '13, you can see that the $61 million was split about 80% to the U.S. business and about 20% to Australia -- or to Asia Pac, which was mostly Australia spending and the comment at the bottom flagging that we will continue to have increases in CapEx in FY '14 and beyond. Looking at Slide 28 on liquidity. During the quarter, we completed a refinancing of our debt facilities. We established new facility of USD 355 million, and we retained an existing facility of $50 million. So we have total facilities of $405 million. Gross debt was 0 at year end. In fact, we had cash of $154 million, so available liquidity is $559 million, and we've extended our -- the term of that facilities to a total of -- or an average of 3.1 years, which is up substantially on where it was a year ago. So it was a very timely refinancing. Always better to be borrowing money when you don't actually need it and as a consequence of that, we're well set for the sort of outflows that we're anticipating over the next couple of years. Just a little bit more on dividends. The fact that we've split this year's dividend into an ordinary dividend of $0.13, so the second half dividend of $0.13 and a special dividend of $0.24 is really the outcome of the provisions in the asbestos agreements. Under the terms of the asbestos agreements, we have a lot of flexibility in what we can do and the way we can do things, but we're always very diligent about the way in which we characterize the dividends. And the special relates to the fact that it was either a share buyback or a dividend, but we've chosen to characterize it as a special dividend. And the $0.24 that we paid is really in lieu of what we'd previously announced as a share buyback a year ago. The share buyback wasn't activated, so we've described it as a special dividend. And looking more perhaps into the FY '14 capital management, we did announce a while ago that we are planning to increase the dividend payout ratio from 20% to 30% to between 30% and 50% of net operating profit, and we've already achieved that actually in FY '13 at least at the end of the year. And we will remain with that 30% to 50% distribution going forward into FY '14. We've also announced this morning that we're going to renew the share buyback facility to 5% of issued capital for the next 12 months. We have had some feedback in relation to the announcement that we made a year ago about -- people are a bit confused about why we have a share buyback announced. And the reason for it is that the ASX actually requires that companies announce but not activate share buyback programs for a cooling off period of 2 weeks. We're -- our intention is to be actually fairly opportunistic about the share buyback activity, and if we see a drop in the share price, we don't want to have to wait for 2 weeks for a cooling off period before actually activating the program. So our expectation is that Hardie will actually have a share buyback program on foot almost all of the time. We may not activate a program in FY '14. If we do, it will be driven by share price level as well as by financial metrics such as return on equity and our outlook for capital requirements. But if we don't activate the buyback program during FY '14 or to the extent that we don't, we expect to continue to have a further dividend payable to shareholders in July or around July of 2014. I guess the bottom line out of this is obviously, we'll have a share buyback program available to us. Ordinary dividends will flex with earnings, and special dividends will be driven by what might otherwise have been applied to a share buyback if we -- or to the extent that we don't activate the share buyback. So I hope that helps people to understand what was driving it. Perhaps, we didn't communicate as clearly as we should have a year ago, but this is about returning Hardie into a more efficient capital position, but there are various ways in which we can achieve that. We don't have to do share buyback in order to do it. And if it's more efficient to do it by way of special dividends, then that's what we will do. Moving on to asbestos. A few slides given that at year end we always do an actuarial reassessment and that has been the case. At 31 March this year, the discounted central estimate increased by AUD 114 million to almost $1.7 billion. We did make contributions to the fund of USD 184 million in the past year, including an early contribution of $139 million that enabled the fund to repay a government -- a New South Wales government loan under the standby facility that it provides to the fund. And as noted here and as I indicated before, we won't be making a contribution to the fund in FY '14. The net liability, this looks a little unusual against -- or contrary to expectation, I guess, given that we had an increase in the actuarial estimate and foreign exchange rates were quite steady, one would have expected that the net unfunded liability may have increased. But in fact, as you can see here, it's gone from USD 942 million a year ago to USD 851 million at the end of '13. That's largely because the fund received a very large payment from Hardie last year. So it's still holding quite a significant asset base at the end of 2013, and it's repaid the loan that it had from the state. And in addition, there's been some unusual outcomes, I guess, on the discounting and inflation allowance. Interest rates were down in Australia, but inflation is down as well, so there's a large reduction in the liability as a result of those movements. But it's very pleasing to see that the liabilities are actually coming down even though the actuarial estimate isn't necessarily indicating that that's the way it would go at face value. This slide is one we show each year end and it's relating to the actuarial estimates. It's I think one of the better ways of capturing what's going on. And as I've said in the past, the blue line here, which is a very flat line as you can see across the many years, the 9 years or so that KPMG has been doing the actuarial work, is actually a very relatively steady line. But it's the discounted central estimate in the blue line, and it's got a lot of noise in it in terms of discount rates and discount factors. I think it's the least accurate representation of what's happening with the liability. Far more reliable is the orange line, which is the undiscounted estimate, and you can see that that's been trending down; and also the orange bars, which are representation of the range of estimates that KPMG arrives at each year. And you can see that over time, the range of estimates has actually been narrowing particularly in terms of the top of the range coming down, which is I think quite a pleasing evolution of the liability. Moving on to the claims paid and cash flow of the fund. You can see that the claims paid on a gross basis were $112 million, which was pretty much in line with the actuarial estimate of a year ago. The fund was very active in insurance and cross claim recoveries. It had a very significant inflow in respect of the HIH reinsurance during this year. So I think $35.7 million is probably a record for the fund in terms of its third-party recoveries. And the net claims costs as a consequence were $85.6 million, which is significantly below the $107 million that had been anticipated in the actuarial estimate of a year ago and was not up all that significantly given the number of claims that were about on the FY '12 numbers. A quick snapshot of the fund's asset position. You can see here that a year ago, we had cash of $62 million, which should subsequently repaid a loan from the state which is marked there at $30 million, it's the second last line. Hardie made a contribution of some considerable size and together with all of the outflows and recoveries, it left the fund with AUD 128 million of assets at the end of FY '13. So although we won't be making a payment to this FY '14 year, the fund is in very good shape in terms of its assets. Moving on to a bit of a snapshot on New Zealand weather tightness and noted that since FY '02, we've been having weather tightness claims in New Zealand relating to issues with the building code in New Zealand that existed from 1998 to 2004 when the government reinstated some old building code practices that have dropped in the mid-'90s. The claims involve multiple parties, relate to very poor construction practices and alleged losses almost always due to excessive moisture penetration, so it's all about the building envelope. As I indicated earlier, we recognized expenses during the year of $13.2 million in FY '13 and also had a provision at the end of the year of $15.2 million. We've had third-party recoveries in relation to most of these claims through the period up to the end of FY '12, and only since the end of FY '12, if we've been -- or at the end of FY '12 and subsequently had we been taking significant expense into our own accounts. Subsequent to year end, there has been a further development. We made an announcement to this effect in April, but the New Zealand Ministry of Education has issued a claim through the New Zealand court process, seeking damages against 3 building materials companies, including Hardie. It's a really an unusual sort of a claim in New Zealand in that it's got characteristics of a class action, which is not a common form of action in New Zealand, and it certainly is alone in terms of all the claims for weather tightness that have been lodged. We've taken no provision at the end of FY '13 in relation to this claim for a number of reasons. But one of them is that there's no damages specified in the claim and it relates to multiple buildings on multiple sites. And the Ministry of Education is unable to tell us what the damages are in the claim or even outside of the claim as it relates to the whole of the buildings or in any individual buildings or any individual schools. So it would just not be possible to arrive at an estimate, let alone to any probability. We suspect that we're going to be waiting for some time before we know what the damages are by building -- by school or in aggregate. That's at least the indication that we've had. So we'll keep this under review, but there were certainly no basis in our mind for making any provision, and we may going to finish up with a range of loss. We may finish up with 0 loss. So we'll just have to see how it plays out, but I expect that this is going to be a very, very protected process. Moving on to a summary. As we've indicated, volumes were very satisfactory in the U.S. business. Price, maybe not so satisfactory, but some of that's structural in relation to the way the market has evolved, but we expect that to change perhaps during this next 12-month period. We had lower earnings from Asia Pac, and we did make a significant contribution to the fund through the year and also paid a very significant dividend of USD 188.5 million. That concludes my presentation, so we'll move on to questions and Louis can resume...
Louis Gries: Okay. Yes?
Simon Thackray - Nomura Securities Co. Ltd., Research Division: Simon Thackray from Nomura. Just a couple of questions. Russell, if I can just start, you made the comment that SG&A fourth quarter, I think, USD 58 million for the fourth quarter and that would be roughly the run rate going forward. So it's sort of $230 million to $240 million annually. Is that what we should be thinking about?
Russell Chenu: Yes, I don't know how reflected the $58 million was, but what we'd expect it here is see a flattening out at the increases. So if it's $58 million times 4, I'm not sure. It might be $58 million times 4, plus a bit, but it won't be at the same rate that's been [indiscernible].
Simon Thackray - Nomura Securities Co. Ltd., Research Division: Yes. It's not growing at this time, right. I guess that leads into the next question, Louis, which is just trying to come up with this EBIT bridge to your expectations for 20% plus EBIT margins. You've said before you need to do better than that in the first couple of quarters to hit, so could you maybe just help us or help me step through the bridge?
Louis Gries: Yes, no problem. So you've probably all done your arithmetic. So we had a 17.1%, which is $162 million in actual EBIT dollars. So if we had a 20% last year, we would -- on the same exact revenue, we would've needed $190 million, so about $28 million short. And of course, some of that would've come at price, so let's call it you were $30 million short because as your revenue goes up, you need a few more dollars. If you take a look at that price slide, which we had up, I can probably get back to it, but the -- we kind of peaked that price in the U.S. business in fiscal year '11 at $652 and then like I said, we slipped $13 since then. So if you had all $13 on last year's volume, it would've been about $19 million, okay. But now some of that's mix, so the $19 million would not have been straight to the bottom line. So if you figure maybe $15 million would've gone to the bottom line, we still need another $15 million on the cost side, okay. So you can get that in unit cost or the other cost in your business. Now like I said, I -- going into the year, I thought we might have been able to stretch to a $20 million. But what I really want to do is get kind of backward to grow the business, both from a capacity standpoint and from a kind of capability on the sales marketing side or demand generation. But we did come up short, and the short part of the cost wasn't that we put more money than we thought we were. We just thought we're going to get some efficiencies in the business that we haven't gotten. So I think next year, when you look at it, so say we grow the business 12% volume again and your price is -- say, your price is flat, the difference between EBIT this year and last year and now isn't $30 million, it's looking more like $50 million. So the $50 million comes -- if we get the $50 million, the $50 million, a portion of it comes from the extra volume, 12% extra volume. A portion of that would, in my mind, have to come from just slightly higher pricing. So we will have a price increase in HardieBacker. We've had a small -- we've had an increase on a small product line, HLD, Trim and we've have some movement on the floor to Cemplank pricing. So we do have some price improvement happening in the business. What we don't have is a market-wide increase in the business. And at this point, one is not planned for fiscal year '14. So the reality is to pull back up to $20 million, which will be just the bottom of our target range, we're going to have to get those efficiencies in cost that we thought we could get this year that we didn't get. So that's kind of the challenge for the business. If we got 1% price, obviously, that'd be about $10 million in a $50 million. So you still have to get -- and then you get your volume contribution, say, that's another whatever it is, say $25 million. Then it's another $15 million in cost. So we got to get that cost piece. And that's some in the plants, but a lot in between us and the customer as well sort of supply chain part of it, which is the sourcing, the production scheduling and the freight component. So that said, that's how we get there. Now is it possible to do it? It's certainly possible to do. Is it an easy thing to do, a business our size maybe increase in EBIT by as much as $50 million? That's not an easy thing to do. But I still think -- and that's certainly our -- it's certainly our intention in the business, and that's what we're aiming for.
Simon Thackray - Nomura Securities Co. Ltd., Research Division: So -- that's very helpful. But just looking at your -- you're pleased with volume and you're sort of indicating your market was 6% from a system and your PDG, therefore, was 6% to get to your 12%, up 6% versus the market in housing that's gone up dramatically more than that, including multi-family at an average pricing outcome that suggests you're doing a hell of a lot more volume at the low end. How the -- I'm just trying to work out how the prices -- I know you take the point about the EBIT bridge, but how your price gets up from here given your previous concerns that you don't want to invite competitive capacity expansion either by taking price at the low end.
Louis Gries: Yes, that's a good point. Again, sorry about that. So one of the upsides we may have in the plan is the housing market. Certainly, it looks better now than it did 2, 3 months ago when we did most of our planning. So whether that sustains itself through the year or not, but our volume going our plan is something that I can definitely see is achievable if you look at other years we had increasing demand markets, meaning housing was on their way up. You take your March volume, multiply it by 12, add another about 5% and that's kind of an indicator of where you might end up for the year. March is affected by weather. Sometimes you get an early season, sometimes you get a late. So you got to dig in a little bit and kind of apply some judgment. But based on the March times 12, our volumes look okay. Now if the housing market's better than it was forecasted to be in January, we might have some upside. So then we get back to Simon's real question which is, if all of this is happening in the south and the west and if it's happening with big builders and it's happening with multi-family, can you really get your price up? And that's where there's kind of a -- that's where it becomes difficult to communicate externally because we look at price per segment, okay. We don't necessarily look at the overall average price that we give you. We look at as our Cemplank price coming up, what's our contribution margin on Cemplank doing. Is our multi-family bid pricing coming up? What is that contribution margin look like? And then obviously, with HardieBacker or Trim. So even though you may see a price decrease because Trim didn't grow as fast a rate as Cemplank, that doesn't mean you have a contribution decrease during that same period. So Cemplank has been growing as a part of our business partly because the gap between Cemplank and Hardie got larger and more people chose to move down and partly because there's a lot of activity and there's a lot more price-conscious buyers out there. So what we can do is we could take care of the internal piece, meaning if we have the GAAP wrong or presenting the products wrong, we can address that. But if -- with big builders, I think we have agreements with 19 out of the 20 big builders in the U.S., and I think about 14 of them use Cemplank exclusively. So if they use more Cemplank, the good news is we're going to get the business. The bad news is it's a lower price than if we're selling them the Hardie brand. But we do have all that in our forecast. So again, it's not stuff we can ignore. It is one of the estimates we have wrong last year, so I'm not actually telling you we're right on top of this. We know exactly what's going to happen. But it's a possibility that more Cemplank would lead to that price not coming up next year. And if that price slipped another $6 or $7 even on an average basis, I think it would be very hard to find the 20% EBIT margin.
Simon Thackray - Nomura Securities Co. Ltd., Research Division: And then just quickly, Russell, in terms of CapEx for '14, obviously with Carole Park coming on, CapEx for '14 and just confirmation of the tax rate.
Russell Chenu: Thanks, Simon. Those are good questions. So CapEx for this year, the indications are that it'll likely come in at about USD 150 million for FY '14. I think frankly, our guys are going to spend to spend at that rate. I don't want to give a different number that we'll have a pretty good feel for it as we get through the year, but I'll be pretty surprised if we actually achieve that sort of spend level. In terms of the effective tax rate, I think I did flag at Q3 that we've been guiding through FY '13 at 25% plus or minus 2%. But given the way things have evolved through the year, it was more likely to vary more to the downside than 2%, and that's the way it played out. I think we -- the 21% or so that we had for the full year is probably about as low as it will get. It is going to be very driven by what happens with the geographic mix of earnings. As you guys know, the U.S. at 38% is, including state taxes, is the highest tax rate that we see in our mix of businesses or jurisdictions. And if the U.S. market turns up or the business turns up in the way that Louis has just described, then clearly, that has a pretty significant impact on our ETR. But I'd say 21% is about as low as we'll get, and it will be somewhere between 21% and 25% in all likelihood for FY '14.
Andrew Peros - Crédit Suisse AG, Research Division: Andrew Peros, Crédit Suisse. Russell, while you're at the mic, perhaps I'll start off with you firstly. Appreciate the comments you made a little earlier around the buyback, but just wondering if you could help us out. At what point -- or where does your share price have to be for you guys to pull the trigger on that buyback? Sorry -- at what point is it not accretive, I guess, from your perspective?
Russell Chenu: You'll learn after we've traded, Andrew.
Andrew Peros - Crédit Suisse AG, Research Division: All right. And then I guess following that, if you do decide to repatriate capital through a special div, would a $0.24 dividend be likely, or is that something we should expect?
Russell Chenu: It's not the CFO who makes the decisions on dividends. That's something that the board always preserves its right for. I mean, my expectation would be that, as I indicated to you, that ordinary dividends will flex with earnings given the dividend payout ratio policy that we've adopted of 30% to 50%. And we'd be looking to do special dividends in lieu of buyback. We've announced the 5% buyback. So I think you can draw from that, that roughly the same sort of special dividend that we've contemplated is likely or at least in our minds for FY '14 on that basis. But it does depend very substantially on the extent to which we do or don't do share buyback activity.
Andrew Peros - Crédit Suisse AG, Research Division: Okay. And one for Louis, perhaps just a point of clarification on R&D. Obviously, headcount's up, costs are up and running well above trend. I think you've previously guided to roughly about $25 million to $30 million in R&D spend. Is that something you're still targeting going forward?
Louis Gries: Yes, I think the increase in R&D last year was around a couple of specific product -- projects, one of which we'll show you if you come on the tour this September at Fontana. So I think the spike in R&D dollars was very project driven, so it's not meant to be necessarily a higher level of spend going forward. I think it might settle down a little bit this year actually.
Andrew Peros - Crédit Suisse AG, Research Division: Okay. And the plant at Chicago that you've just opened, is this -- just wondering how we should think about this. Is this something that you think is a necessary requirement to grow market share? Or is this something that you have other aspirations of -- in terms of growing margins? Or how should we think about that investment?
Louis Gries: Yes, that's a good question because it is a mix. So the coatings part of it is that protect our position with ColorPlus in fibre cement, so our brand promises around durability and maintenance. So since we have -- we didn't own any of our technologies in coating and ColorPlus was getting bigger and a bigger percentage of our product line, we just felt like we have no issues with feldspar [ph], and that agreement, I think, runs through like 2016. So it's not like it's coming to an end in the near term, but we just felt like we had to build that capability. Now I do think we'll get some benefits by having that capability, but it's almost a certainty of supply investment rather than enhanced margin investment. And then I would say right now probably -- I'm guessing, I didn't even ask the guys to check my guesses here, but my guess would be we'll probably spend 2/3 of our money on coatings and 1/3 on non-fibre cement product development. And that would be searching for a new category to invest in to a greater degree and kind of grow another leg in the U.S. besides fibre cement, so that will be long-term strategic investment.
Andrew Johnston - CLSA Asia-Pacific Markets, Research Division: Andrew Johnston, CLSA. A couple of questions. Louis, just on the -- you mentioned before about the mix shift and you mentioned targeted penetration into particular markets. Can you expand on that a little? Because that seems to be the issue around the margin.
Louis Gries: It's part of the issue around the margin. But like I said, we're -- if I give you a longer explanation, I guess the work we did in the early 2000s up until the downturn was kind of right in our sweet spot, a lot of prime plank and we're just getting Color established and we didn't make much money on Color at the time, but it wasn't near as big a part of our mix then, so were getting very high margins on almost everything we sold, okay. Now Cemplank, we get returns on but not anything like the normal margins we get on the middle of the market stuff. And anything in the top of the market has so much market development that goes along with it, you don't get your margin there either. So what we need to do is -- I mean, we need to grow all segments, okay. So we can't be a 35 company. We can't see fiber cement get to the size that we want to be or the market share that we wanted to be, if we're just willing to participate, we're going to make this huge margins. So -- and that's why I said, I don't think -- we don't manage to that. Well, obviously, no company would, but we don't manage to that average numbers. It's how you get into that average, that's a lot more important. And I don't want to mislead you. There is a management gap or management performance in that number. In other words, that number could easily be just sort of $6 on it, could be easily $6.45 with perfect price management, okay. But then the rest of it is about different segments growing at different rates and big builders picking up a little bit more of the business on a recovery than they had going into the downturn and stuff like that.
Andrew Johnston - CLSA Asia-Pacific Markets, Research Division: Okay. But we're seeing the emergence of the custom builders back again, so that should help you.
Louis Gries: Yes, I don't think there's -- there's been maybe some movements in the market. I've seen some of the papers on multi-family and some of the papers on -- by the way, the other thing we didn't do well last is we didn't grow our Northern business well. So forget that the northern market didn't grow as quickly as, say, Southern and Western markets from a demand standpoint. We didn't do as well ourselves within that Northern market, so it was kind of a double drag on that. And as you know, Color is highly biased towards the North. But yes, you're right. I mean, I think all the segments will come back and it will be a little bit different than they were, but -- and I've seen papers on mix. All that stuff's right. That's not at the core of what's happening, okay. We're just -- we're a little bit higher on market share, as we calculate it than we were last year, but we just got to keep climbing that market share curve and not be confused by a more multi-family, less this, more of that because we have to participate in all segments. We're capable of participating and making returns in all of the segments so that's what we need to do.
Andrew Johnston - CLSA Asia-Pacific Markets, Research Division: And so what was the issue in the North, [indiscernible] northeast?
Louis Gries: It's just -- not everything runs well in a business so the North didn't as well as they should have last year.
Andrew Johnston - CLSA Asia-Pacific Markets, Research Division: Is that marketing or a market side...
Louis Gries: Yes, market side, market side. Not enough consistency in the market, not enough emphasis on new construction and all these coming back. Not as good with the channels as we should have been.
Liam Farlow - Macquarie Research: I'm Liam Farlow from Macquarie. Just a quick question on New Zealand weather tightness. Obviously, you've seen an increasing expenses and a higher provision, even excluding the Ministry of Education claim. Where do you see those claims where in the future, what's recoverable from insurance from here moving on? And what are some of the scenarios you've look at with regards to potentially the Ministry of Education claim or are there potential claims that could emerge over there?
Louis Gries: As far as scenarios if you point to is this a New Zealand liability or would it go beyond New Zealand business. We don't see we're in that magnitude of claim at this point to start even going through that early thinking. As far as insurance, Russell, you got the update on the insurance? It was largely covered to a certain period of time and now there's dispute going on. So right now, the coverage isn't there for what's happening right now.
Liam Farlow - Macquarie Research: And is that not expected to return from an insurance coverage perspective?
Louis Gries: No, no.
Michael John Ward - Commonwealth Bank of Australia, Research Division: It's Michael Ward from CBA. Just in response in Simon's question, you sort of elaborated the $50 million, you talked about the 12% volume, you talked about 1% price. It sounds like a lot of it is coming from the efficiency side rather than the price side. Can you maybe just give us a little bit more detail. Is it as simple as 12% volume comes through and the efficiency benefits fall out or is it there more that needs to be done in the business on the efficiency side.
Louis Gries: No, there definitely more than needs to be done in the business. So the -- you definitely -- you get your volume contribution dollars straight forward. But we actually have to increase our contribution dollars per unit as well across all the units we ship. So there are some things we did in the business during the downturn, especially on machine performance. They were very good, so we get much higher throughput on a lot of -- most of our machines in the business right now. And we just haven't turned that into the dollars as we should have so it's kind of an internal -- I mean, I wouldn't never predicted this. I think our organization is finding it hard to move to high demand again. And so the machines are running. They're running well but like I said, we're just inefficient in other things we're doing, whether it will be sourcing, scheduling or shipping to where a lot of your benefit of running well kind of doesn't find its way into the bottom line. So the business needs to run better next year than it run this last year. There's just no 2 ways about it. It needs to run better. It's not to say we're poorly run business. I mean this is a Hardie standard. This is still 20% to 25% margin range we're looking for and it's kind of like -- it's not judging you by what peers can do, it's judging you by what we're able to do. What are potential of the business and we didn't -- we didn't operate near our potential last year. We came up short.
Michael John Ward - Commonwealth Bank of Australia, Research Division: So of the volume -- of that non-price contribution to the expected earnings improvement, is it the volume side that's big or is it the internal efficiency side that's probably big?
Louis Gries: Let's see. It would be the volume -- you get the 3 pieces. If we did get 1%, we've got 12%. The cost side, I think, is more like $15 million, $18 million. So you can't get there on cost. You can't get there on price and you can't get there on volume. You got to do all 3 better.
Michael John Ward - Commonwealth Bank of Australia, Research Division: Okay. And maybe just a question for Russell on the cash flow. Just looking at the trading or the cash generated by trading activities, can you sort of talk us through the big change in other noncash items, what that is from 73, positive 73 to only positive 11. And then make some comments around working capital where you've had an outflow of sort of $34 million this year?
Russell Chenu: Sorry, did you say on the other noncash items?
Michael John Ward - Commonwealth Bank of Australia, Research Division: Yes. So the 73 to the 12, and then just some comments around working capital, whether or not you're happy with the performance there.
Russell Chenu: I have to get back to you on the 73, Michael. I just can't recall what that is or what that was in FY '12. It's certainly, a big number. I'll get back to you on that one. On the net working capital movements, I think we're probably in a much better shape than we were across all of our businesses in working capital. We did run quite a program in the middle of 2012. That's calendar '12, and I think we've made some pretty good progress there, relative to the prior period. But the business in the U.S. is growing and that clearly does soak up a fair bit of working capital. But if I look at all of the areas, particularly our inventory and our accounts receivables across the group, we probably got some way to go, but generally I think we're in pretty good shape.
Emily Behncke - Deutsche Bank AG, Research Division: It's Emily Behncke from Deutsche Bank. Just wondering, Louis, if you might be able to -- you mentioned at the beginning of the presentation that while the U.S. market was good that you guys could have done better. I presume that's on the cost side. And I'm wondering if that is the $15 million to $18 million or so that you're thinking that you need to sort of find in FY '14?
Louis Gries: Yes, I think last year was probably $10 million to $12 million we missed. That turns in the bigger number because I think we're further along in a few areas. And again, I think if you really want to be critical about our performance last year, the 12% volume is fine, but we should have done better in the North. So we should had a bit more volume by doing better in the North. And if we did better in the North, we'd have a bit more price. So I've been working at Hardie a long time, 22 years, and 8 years in this job and I'd say, as reflecting when I was coming down in the plane. I mean 8 years I've been in this job. This is one of the -- this is either the worse or second worst year I've had. And that's not to say we had any big mistakes. It was kind of missed opportunities rather than performance gaps. It's just missed opportunities where, here, the markets starting to cooperate with us and we're spinning our wheels in too many areas, so we got to quit spinning and get more traction.
Emily Behncke - Deutsche Bank AG, Research Division: Okay. And just with the price increases that have been announced in Backer and I think you said HLD, wasn't it? I'm just wondering...
Louis Gries: HLD, Trim and we did make a product enhancement on Trim, so some of that's going to be offset by cost increase due to the edge enhancement we made. And then HardieBacker, which isn't implemented yet will come in the next couple of months.
Emily Behncke - Deutsche Bank AG, Research Division: Okay, so on the basis of those market increases, would that get you to the 1% or do you need the mix to work in your favor?
Louis Gries: We need a little bit of help on the bottom of the Cemplank market and we need a little bit help on bid price in multi-family.
Emily Behncke - Deutsche Bank AG, Research Division: Okay. And you mentioned 6% PDG growth this year. Where is that mainly coming from? You are now in which parts of the country?
Louis Gries: Yes, well, I can tell you where it came last year. It was South and West dominant because like I said in north didn't do as well as we should have. And I think we're steady on our R&R program, so we haven't had any resources pulled out of R&R. So I feel like the gains we've had there will continue which is also are mainly in the vinyl markets. And then -- so the other bias will be towards new constructions. So we're going through a little lag, capability gap in new construction, because so many of our good people want in R&R. And we don't want to just pull them out of R&R, put them back in new construction, so some of our newer people are going into new construction. So it's a bit of a training emphasis now to get the new resources up by new construction, kind of market development and vinyl markets.
Emily Behncke - Deutsche Bank AG, Research Division: So in FY '13, what would be the new versus R&R mix in your volume, roughly?
Russell Chenu: I didn't even try and calculate to be honest with you. It's just more of an intuitive sense of where we're at.
Emily Behncke - Deutsche Bank AG, Research Division: So R&R would have gone up by more than new in terms of share?
Louis Gries: Yes, I think that's probably right because we definitely have more of our resources pointed there.
Andrew Geoffrey Scott - CIMB Research: Louis, Andrew Scott, CIMB. Just maybe following up on that, I'm just -- and you alluded to the start, struggling to get back to that U.S. 8% volume. If we sort of take a 1 quarter lag, I think U.S. total startups were up high-30s, single family up 29%. If you're assuming about 35% of that single family comes through to you, you're already at probably 10% or very close to in terms of the volume growth and that's before you get the other 65 growing at a smaller rate. What am I missing there? Otherwise, I'd be saying I would have thought your PDG slipped in the quarter?
Louis Gries: Okay. I think one thing you missed is did you say you thought we'd get 35% on new construction or?
Andrew Geoffrey Scott - CIMB Research: Thereabouts, but bringing back to 30s is not going to change the equation too much but...
Louis Gries: Okay, so our current share on new construction is very similar to R&R. So -- we don't do it so much in our share. So the guys that calculated that in our business, they just calculated total opportunity. And they calculate the opportunity increase and then we'll look at our change relatively to the increase. So it's market share before market share after the delta and that's how they get the PDG. So I'm not sure. Sean will have to help you with that specific arithmetic, I think. But the really tough thing and the reason we don't publish PDG anymore is no one’s out there with a good R&R market, kind of market number. There used to be some people out there. I think the NHP [ph] have one at sometime and someone told me they're coming back with it, but we found it to be very inaccurate. So we're just a little bit worried about publishing numbers which end up being in decimal point results and indicated is where we're at because we think it's directionally right where we're at. We used a couple of proxies for the R&R market. We get a lot of insight in what Home Depot and Lowe's does in building materials, so that's one of the biggest things we used for the R&R market. But the other thing we get is we get the vinyl. We get the vinyl numbers and then the thing that's emerge recently and you guys would be aware is that LP [ph] is starting to grow chipboard siding and again. So the numbers, you can figure out their volume from their results and that's kind of a one industry player now. There's smaller players in hardboard siding, but they don't add up too much. So we see the vinyl in decline, so it's kind of if vinyl wasn't in decline, then you'd say, well, you might be guessing wrong in your R&R index but we're pretty confident with vinyl in decline and at the rate LP [ph] is growing and the 3 areas are growing, it kind of all kind of calculates to be in line with our PDG result. And I guess you guys follow the bricks. We don't follow the bricks so much because we don't feel there -- we're not swapping out for bricks and they're not swapping for us. But anyway, Sean, you have to show him how we calculate that. I didn't quite follow it.
Andrew Geoffrey Scott - CIMB Research: Okay, and just one more, just Carole Park addresses, I guess, the new capacity in Australia but leaves you with a very old Rosehill plant. Have we come a bit of a CapEx hump there to bring that back to expected standards for Hardies?
Louis Gries: No. The answer is no. I'm trying to reflect down the old part of Rosehill. The sheet machines are fine. I can't remember when the sheet machines were put in. One of them was put in just before we built Fontana. We since expanded that, and I think the second one we invested in probably in the 90s. As far as making sheets, Australian plants are more than capable of making sheets in a high throughput manner so that's not a problem. With a -- they're business is quite different as after the autoclave, and I think so many investments in finishing lines in Australia has been kind of not as good as it could have been. It depends too much at manual labor and labor is very expensive in Australia. So I think we'll start to work through the post autoclave investment in both the sites down here. Not just the new finishing capability that goes with the new sheet machine, but other finishing lines we have in Australia. But Rosehill sit on an expensive land that's why I thought we might move off from that site. But quite honestly, the difference in their cost relative to a greenfield or even the new Carole Park, it doesn't justify moving.
Sean O’Sullivan: Okay, we might take if there's any questions on the phone, please?
Operator: We do have some questions over the phone. The first one comes from Jason Steed with JPMorgan.
Jason Harley Steed - JP Morgan Chase & Co, Research Division: Louis, Russell. A couple of questions -- sorry I got to go back to 20% but I just want to pick up on 2 points around that. We picked up from Heritage homes the last couple of days that their rebates from building materials companies are rising. I appreciate that's across the broad spectrum of building products and materials. But I just wanted to get a sense of your -- where you are in terms of rebates and just to remind on how you calculate that. Does that sits within OpEx or is it -- does it affect your average sales price? And then the second question, just on input cost in terms of, Louis, the structure that you went through in terms of getting back to 20%. Pulp going up, freight going up, too. You obviously need to offset those as well. So maybe you could just comment how you see overcoming that. Does that imply even more price action and a shift away from Cemplank, for instance?
Louis Gries: Yes. So on the builder rebates, so you see net numbers. And our builder rebates have changed recently because we've taken some of the builder discounts off invoice and put them on rebate. So we'll see a higher rebate in the business but you won't see a lower net price because of it -- because it will be just trading rebates offer, discount on invoice.
Jason Harley Steed - JP Morgan Chase & Co, Research Division: So your -- sorry, I'm jumping on this. So your sort of average imply discount as it were hasn't really change. It still where it was versus the year ago and you don't expect it to increase despite the structural change?
Louis Gries: That is correct. And the structure, I think you just pick the builder that's on a bit of a run, so I don't think it's -- overall that builders -- I'm not close enough to the other products. Maybe the other products as they get their pricing up are going back to the big builders with more rebates, I'm not sure, but not's our intention. We think our pricing with our big builders is where it needs to be. As far as -- yes, you're right on pulp and freight. Now freight, of course, freight always goes up seasonally so we're seeing that now, but we do see the risk that both freight on an annualized basis and pulp, our annual number, could be higher. And right now, we have some increase in there but we don't have either of them going -- rising very, very quickly or strongly. So that would be one of the things, obviously, not very much in our control that could get in the way of us hitting 20 even if we did all the internal things well. But right now, we're not quite 2 months through a year. There kind of where we think they should be if our overall forecast is right. So like I said, that can change, their commodities, both of them. So they can go on a run but right now, we're comfortable with the pattern of increases that both pulp has taken and the freight haulers have taken.
Jason Harley Steed - JP Morgan Chase & Co, Research Division: Okay, great. And just one quick last one. Just on the Blandon closure, I think it's about 200 capacity plant. Can you just remind us -- I can't recall whether that was on the cards or maybe you could just remind us of what -- why that decision was taken with that plant specifically? The decision not to reopen it, I should be more specific.
Louis Gries: Well, Blandon. I guess we've talked in general terms about Blandon in the past and almost always, and we saw it again with the decision in Australia. It almost never make sense to move a plant. You always kind of -- if you start somewhere, you're going to have a better returns if you stay where you are and kind of optimize your unit cost in that plant rather than just giving up and moving on. I think Blandon has been our -- the real exception. Now you guys would remember, we bought Blandon from E-techs [ph]. It was Cemplank plant 1 of the 2. And it was their initial plant in the U.S. Now we didn't like the plant the day we bought it. We thought it was in the wrong place and we didn't like the machine. But we felt with incremental investments, just as I described there, we'd get better returns rather than just kind of closing it down and starting new somewhere else in the Northeast. We felt the same way about Somerville when we bought that and I think in one case, we are right, Somerville and in Blandon's case we were wrong. We should have -- when we bought the Temple plant in Texas. We saw that just -- what was in the plant wasn't going to deliver what we wanted. We gutted the plant. Kept all the infrastructure around raw material and [indiscernible] and all that and just put new machines in the plant. That's what we should have done with Blandon, okay. And if we stayed in Blandon, that's exactly what we would do now. So it's been a couple of mistakes made along the way. But now, we're just of the mind and the numbers kind of point to -- you can put in incremental capacity in Peru and Pulaski and get a better return than by fixing up Blandon. So that's why we're going to fully exit the Blandon site. And I think the latest impairment reflects the land and building value as it's anticipated as we sell it.
Operator: The next question is from David Leitch with UBS.
David A. Leitch - UBS Investment Bank, Research Division: Long conference call. I was just looking for a bit of guidance on CapEx in FY -- total CapEx in FY '14 and maybe even the following year, given the Australian expenditure and you've indicated some spending in the U.S.A. as well?
Louis Gries: What's our official guidance there? Yes, so officially, we're saying $150 million per year. I think that's right. It may not actually be leveled with 2 years, but the $300 million, $100 million of which is on Australian, a couple of $100 million in the U.S. kind of looks good to us.
Operator: The next question comes from Matthew McNee with Goldman Sachs.
Matthew McNee - Goldman Sachs & Partners Australia Pty Ltd, Research Division: I'll just make this quick as well. Russell, just the legal -- sorry, the insurance recoveries you got in the asbestos this year, was there -- there was a significant element of one-off in that. So where would you expect that to go next year?
Russell Chenu: One-off is probably a little strong math in terms of the explanation or characterization of it. The actuaries are always very harsh in their assessment of recoverability of insurance proceeds. And AICF had a very substantial exposure to the insolvency of HIH. And given HIH's financial condition, there was a very high probability that there will be significant challenges in recovering from HIH liquidators. As things have played out, AICF has seen very successfully in the courts, including the courts in the U.K. in asserting its rights. And yet, that's not allowed for an actuarial estimate. It's not complete, but it's unlikely that future years will contain the same sort of dollars in terms of cutting through to recovery on the HIH proceeds because most of that gains have been had. The other side of insurance recovery is typically some one-offs that come through in commutations of policies. Those things, they have been periodically -- they haven't been big dollars in FY '13 and they're unlikely to be big dollars going forward.
Matthew McNee - Goldman Sachs & Partners Australia Pty Ltd, Research Division: And Russell, just one other. Just from memory, Rosehill and I'm not sure about Carole Park, but I think they're originally owned by the fund, the original fund. Is that the case now or not?
Russell Chenu: It's not the case now. Just a little bit of background to that. Those properties were part of the $300 million or so seeding of the funds of medical research and compensation foundation in 2001. The funds -- that fund didn't hold on to the land and buildings for any of the sites in Australia or in New Zealand for a long period of time. I'm a bit rusty on exactly when they were sold but I think it was 2003, 2004 period. There are different owners of the sites now, as Louis indicated, we've been successfully negotiating the purchase in relation to the Carole Park site. Which was, in fact, being marketed by the owner.
Matthew McNee - Goldman Sachs & Partners Australia Pty Ltd, Research Division: And what's the term of the lease at Rosehill?
Russell Chenu: It's got -- I'm not going to be precisely in that because the numbers didn't -- or the years didn't match up on all the sites. But we've got the right to extend the lease through to sometime in the 2030. So I think it's about 203, something like that. So we're not at risk of being evicted from the site.
Operator: The final question on the phone comes from Ben Chan with Merrill Lynch.
Ben Chan - BofA Merrill Lynch, Research Division: Russell, just -- is my understanding those some restrictions regarding the payout ratio or may be a rolling 2- or 3-year basis under asbestos gain. I'm just wondering, I understand your 30% to 50% guidance in x asbestos, what about other R&R on specifically thinking about if you do take a provision for the New Zealand in a school's liability. Is your payout ratio will be calculated post that potentially or is that just completely irrelevant?
Russell Chenu: No, it's not irrelevant, Ben. The amount that we're permitted to pay up by way of ordinary dividend is 75% of the past 2 years earnings -- always, in an average of 2 years, I should say. So it's reasonably complicated, although they simplified it in describing in the way I have. But it is -- if anything effectively goes to those earnings. So in other words, New Zealand weathertightness would be one of the many factors that impact the base on which the 75% is calculated.
Louis Gries: We have one more question...
Sean O’Sullivan: We just have one question from media.
Carly Williams: Carly Williams from AAP. Louis, I was just wondering if could provide a little bit of color of where you think the Australian housing market is heading over the next 12 months?
Louis Gries: I'm not an expert on the Australian housing market. As far as our people in the business, they're planning for it to be flat to just slightly up. So I think the declines are, hopefully, behind us and will be a little better market.
Carly Williams: Do you think interest rates are going to start kicking in and bank a difference?
Louis Gries: I think that’s the reason for the optimism. Okay, I appreciate everyone coming this morning. Thanks.